Operator: Hello, and welcome to Cofinimmo Half Year 2025 Results. My name is Ben, and I will be your coordinator for today's event. Please note, this call is being recorded. [Operator Instructions] I will now hand you over to your host, Mr. Jean-Pierre Hanin, CEO of Cofinimmo, to begin today's conference. Thank you.
Jean-Pierre Hanin: Thank you, Ben, and good morning, everyone. Thank you for joining us today in this call for the presentation of Cofinimmo's results for the first 6 months of this year. As usual, I'm joined with -- by my colleagues, Jean Kotarakos, CFO; Yeliz Bicici, COO; Sebastien Berden, COO. And as usual, we will keep the presentation short to give you enough time for the Q&A at the end. Let me begin with a brief update on the potential combination with Aedifica through a public exchange offer that we addressed in several of our press releases published on the 1st of May, the 9th of May, the 13th of May, the 3rd of June and more recently on the 18th of July. As announced on the 3rd of June, Aedifica and Cofinimmo reached an agreement to unite and create Europe's leading health care REIT. We understand that Aedifica shareholders gave broad support to the contemplated combination on the 11th of July. The transaction is subject to the approval by the Belgian, Dutch and German competition authorities. We understand that over the past weeks, the German and Dutch competition authorities have already given their approval for the transaction. We were informed that during the ongoing pre-notification phase, the Belgian Competition Authority indicated that further questions would need to be answered. Aedifica and Cofinimmo will therefore provide additional information in the coming weeks. As a result, it cannot be excluded that the review process may take longer than initially anticipated as referred to in the latest press release of Aedifica. Beyond this brief update, you will understand that the potential combination is not the topic of today's conference call. Hence, let's get back to the usual topics now. The highlights of the first semester are listed on Slide 3 and can be summarized like this. For the first 6 months of 2025 and although we witnessed a volatile global environment, Cofinimmo's results are higher than the outlook with EPRA earnings up to 2.5% at EUR 122 million. The net result group share even stands at EUR 112 million, up EUR 70 million compared to H1 2024. Those good results arise not only from an excellent operational performance like a gross rental income up nearly 3% like-for-like, high occupancy rate and long residual lease length of 13 years on average. They also derive from the solid financial foundation on which Cofinimmo was built. Here, I can point out our cost of debt, which is stable at 1.4%, one of the lowest level for REITs in Europe. The debt-to-asset ratio on the 30th of June stood at 44.4%. But as you all know, this includes the seasonal effect of the payment of the dividend in May. As a reminder, the outlook for this ratio is about 43% at year-end. As you know, health care real estate makes up 77% of our EUR 6 billion portfolio. The Office segment has largely been centered on the best area of the Brussels Central District. I will go into details on the status of our investment and divestment targets later in the presentation. On sustainability level, Cofinimmo has improved its ranking in the 2025 Europe's Climate Leaders list by the Financial Times, where we are present for the third year in a row now. Based on all of this and barring major unforeseen event, we can now confirm an EPRA EPS target of at least EUR 6.20 per share, leaving aside the nonrecurring effect related to the potential combination with Aedifica. Our company profile and strategy are well known by all of you, so I suggest going directly on Slide #8. The chart on this slide illustrates the asset rotation strategy and steep growth in Healthcare from 45% in 2017 to 77% today. At the same time, the Office segment was reduced from 38% to 15% and the Distribution Network segment was halved. On Slide #9, you can see that we continue to diversify our footprint with a significant presence in most of the 9 European countries where we operate. Today, 53% of Cofinimmo's total portfolio is located outside Belgium. I'm now on Slide #10. In the first half of 2025, we had net divestment of EUR 20 million. This net divestment takes into account EUR 36 million of investment essentially linked to the execution of development projects in Healthcare. As you can see on the right bar chart, we have continued our asset rotation, mainly in Healthcare. On the divestment side, our target is still EUR 100 million for this year. We have already closed for EUR 56 million in the first half of the year. If we take the files completed in July, like the closing yesterday of the divestment of a nursing and care home in Belgium and the files already signed and expected to be closed by the end of this financial year, the divestment reached approximately EUR 70 million or 70% of our target. Divestments were all made in line with the latest fair value. Those of distribution network assets were even done above fair value. Slide 11 summarizes for you the ongoing portfolio rotation since 2005. In 20 years, we completed EUR 4.5 billion net investment in Healthcare with a clear acceleration since 2018 and a slowdown since 2022. Over the same period, we have made net divestment almost EUR 1 billion in Offices. Slide 12 highlights our accelerated portfolio growth since 2018 at an average pace of 8% per year, even taking into account the lower size of the portfolio since 2022. Over the same period, thanks to our proactive management, we kept our debt-to-asset ratio at an adequate level as shown on the right-hand chart. As a reminder, the 44.4% at June 30 includes the seasonal effect of the dividend payment. The outlook for the end of the current year is around 43%. I'm on Slide #13 now, where I'd like to comment on Cofinimmo's shares performance on the stock market this year. Since our Q4 call in February, we gained approximately EUR 800 million in market cap, which is now at EUR 2.9 billion. Cofinimmo's shares have indeed shown a strong H1 performance with a 50% total shareholder returns, of which 20% until the 29th of April. This performance was driven by 3 key events: a well-received adjustment of the dividend outlook announced in February for the payment that will occur in 2026, a strong performance post liberation date in April, health care real estate being immune from direct effect of tariffs and an acceleration from the 30th of April onwards, the share price being stabilized at a level reflecting the potential combination with Aedifica through a public exchange offer. On Slide 15 to 19, you see that Cofinimmo's dedication to sustainability is strong, still many years. Our efforts have positioned us as a very credible player in the industry. Let me give you a few examples. Cofinimmo is part of the Financial Times list of Europe Climate Leaders 2025 for the third year in a row and with an improved score. We have extended the ISO 14001 certification scope to Spain, and we have received new BREEAM certifications in Finland and for our offices. On Slide 18 and 19, we listed all our sustainability benchmark and awards for your convenience. And now let's take some minutes to talk about the property portfolio. As shown on Slide 21, our property portfolio maintains a very high and even improved occupancy rate at 98.6%. On the same slide, you see the top 10 list of our tenants. Moving to Slide 22. The overall weighted average residential lease term remains quite long at 13 years and even at 15 years for Healthcare. In the first half of 2025, gross yields have basically stayed stable at 5.9% or 5.6% net, as you can see on Slide 23. Overall, our average net yields are closer to 6% than to 5%. Sebastien Berden, CEO, will now provide insight into our Healthcare segment.
Sebastien Berden: Thank you, Jean-Pierre, and good morning to you all. Since 2018, and I'm on Slide 25, we consolidated our leadership position within the European Healthcare sector. We achieved this through a strategic geographic expansion and diversification across various Healthcare segments. I'm sure you remember that next to the nursing and care homes, which still represent the majority of our assets, we own acute and rehabilitation care clinics as well as primary care centers and rehab clinics only to mention a few. On Slide 26, you will see that the fair value of our Healthcare portfolio was at the end of June, EUR 4.6 billion and represents 77% of Cofinimmo's portfolio. We now own 306 sites, housing more than 30,000 beds and representing almost 1.9 million square meters. This represents on average 6,000 square meters per asset. The portfolio grew slightly since December '24 through the delivery of projects we had in our running pipeline. And at the same time, we realized some selective divestments. I'll come back on that in a couple of slides. On Slide 27, we follow up on an initiative we presented for the first time in February of last year. This table provides an updated overview of the underlying occupancy rates in our portfolio. As you know, we gather data on the performance of our Healthcare tenants and benchmark these figures with external market data. You will recall that in 2023, we saw a continued improvement in occupancy rates in most countries. The average occupancy rate in Cofinimmo's portfolio reached 92%. We are very happy to observe, based on the updated sets of figures, that this positive trend has continued and even improved almost everywhere in 2024. We also note that our occupancy ratio are in all countries better than the market data. On Slide 27, at least in the top part, you see a summary of our development projects completed in H1. These were localized in Spain and in the Netherlands. On the lower side of the slide, you will see the list of divestments we realized in the first half of the year. Slide 29 provides an overview of the post balance sheet date events with -- these were 3 acquisitions in Spain and in Finland, and we also concluded the divestment yesterday in the southern part of Belgium. Let me now hand over to my colleague, Yeliz Bicici, for an overview of Pubstone and the offices.
Yeliz Bicici: Thank you, Sebastien. Good morning to all of you. You all know our Pubstone portfolio, which is based on a long-term contract with AB InBev in Belgium and the Netherlands for approximately 800 pubs and restaurants. This segment represents a fair value of approximately EUR 500 million. Our asset rotation strategy in the Distribution Networks has led to selective divestments during H1 for a total amount of EUR 5 million and all at a sale price above their fair value. Now let's move on to the Office segment as of Slide 33. The Office segment's fair value consisting of 25 properties for around 250,000 square meters amounts to EUR 927 million. Slide 34 illustrates the successful evolution of the portfolio with almost 3/4 of our assets located in the CBD of Brussels. An outstanding project on Slide 35, I want to highlight is the complete renovation of an office building in Mechelen of around 15,000 square meters leased to the Flemish community and which was officially opened during a ceremony in the presence of the Flemish Minister President on the 1st of July. After the works, its energy performance is well above current legal requirements, thanks to extensive energy upgrades, a focus on the circularity of materials and a complete interior refurbishment. A lease renewal has been signed for 18 years, and the rent will be indexed based on the Belgian consumer price index. And I will now hand over to Jean, who will highlight the financial specifics.
Jean Kotarakos: Thank you, Yeliz. Good morning to all. We can go to Slide 37. Here, we observed that our portfolio has experienced a like-for-like rental increase of almost 3%, primarily fueled by new leases and indexation. Besides this, the divestments closed in '24 and '25 explain the minus 0.8% year-on-year change in gross rental income. We can move to Slide 38, where we see that Cofinimmo's momentum in terms of investment, divestment and financing, coupled with an efficient management of the existing portfolio has generated a 2.4% growth of the bottom line compared to H1 '24 at EUR 122 million. This is higher than the outlook. The EPRA earnings per share or the EPS reached EUR 3.19, which again is higher than the outlook. The effect of the recent divestments and the capital increase of '24 on this indicator amounts to minus EUR 0.26 per share in total for the first half of '25. On Slide 39, we present the IFRS net result, which stands at EUR 112 million at the end of June or EUR 2.95 per share. The increase of EUR 70 million compared to H1 '24 is due to the increase of the net result from core activities of plus EUR 3 million that I've just commented, combined with the net effects of the changes in the fair value of hedging instruments and investment properties, both noncash items between H1 '24 and H1 '25. The net result group share per share at end of June '25 takes into account the issuance of shares in '24 as illustrated by the increased denominator, which increased from EUR 37 million to EUR 38 million rounded. Drilling down into the portfolio results, we see a figure of plus EUR 2 million as opposed to minus EUR 94 million at the end of June '24. This encompasses the following key items: First point, as for the result on the portfolio, the gains or losses on disposal of investment properties and other nonfinancial assets amounts to EUR 1 million, so a gain of EUR 1 million compared to a gain of EUR 7 million at the end of June '24. This result is calculated on the basis of the fair value at the end of '24 of the assets divested during the period and the net price obtained, which means after deduction of any brokers commission, notary fees and other ancillary costs. Second point, the item changes in the fair value of investment properties is positive at end of June '25, EUR 3 million compared to minus EUR 91 million at the end of June of last year. Without the initial effect from the changes in the scope, the changes in the fair value of investment properties during the first quarter were positive putting an end to 9 consecutive quarters of decrease and those remained stable in the second quarter. This change of plus 0.1% for the first half year of '25 is mainly due to several factors: a change of 0.1% in Healthcare real estate, which arises from a negative change in France, mainly due to the increase of registration fees following the Finance Act implemented on the 1st of April by certain local authorities as well as a downward revision to inflation forecast in France. This is combined with a minus 0.2% change in the Office segment, representing only 15% of the consolidated portfolio. And all this was partially offset by a change of plus 0.7% in the property of distribution networks. Turning to Slide 40. We observed that our total assets are valued at approximately EUR 6.4 billion with investment properties and assets held for sale at fair value constituting nearly 95% of this figure. These assets are financed by roughly EUR 3.5 billion in equity and EUR 3 billion in liabilities. Slide 41 offers an analysis of the evolution of the debt-to-asset ratio from 42.6% at the end of '24 to 44.4% by the end of June this year. This change can be attributed to several factors. First and foremost, the seasonal effect of the dividend '24 paid to our shareholders last May has led to an increase of 3.7% of the seasonal effect that Jean-Pierre mentioned earlier. That is already partially offset by the cash flow produced during the first half, generating a decrease of the debt-to-asset ratio of 1.9%, while the net divestment of H1 reduced the ratio marginally by another 0.2%. All the other elements combined, including grounding, have another 0.2%, sorry, positive effect. With current projections and barring unforeseen major events, we target a debt-to-asset ratio of around 43% by the end of '25. On Slide 42, you can see that the EPRA NAV is somewhere between EUR 90 and EUR 99 per share. I will comment on the evolution of the IFRS NAV between end of '24, where it stood at EUR 92.84 per share versus EUR 81.55 per share at the end of June. This means that it decreased by slightly more than EUR 3 due to 2 drivers: the payment of the dividend '24 2 months ago, which amounted to EUR 6.2 per share, partially offset by the net result for H1 '25 being almost EUR 3 per share as seen on the previous slide. Let's now move to the financial results at our disposal. In the first half of '25, I'm on the Slide 44, there was no equity raise as there was no option. Our S&P credit rating of BBB with a stable outlook, short-term A-2 was in March '24 with the report being published in April as shown on the Slide 45. It's also worth mentioning that S&P improved its outlook early June following the press release related to the potential combination with Aedifica. This means that Cofinimmo's rating could improve by 1 notch after completion of the transaction. All of the '25 maturities have already been refinanced, as mentioned on Slide 46, and that we will show that on a picture on a later slide. We have also concluded 2 refinancing operations in Q1 and a very recently in Q3. Slide 47 reminds you that Cofinimmo holds EUR 2.6 billion in sustainable financing, comprising various instruments, including a sustainable commercial paper program. We can go to the next slide. On this Slide 48, we show further the breakdown of the long-term committed financing instruments split between bond and similar instruments, which represents 1/3 of the total and then bank facilities, representing 2/3 of the total. This includes a headroom of almost EUR 900 million of available credit lines after deduction of the backup of the commercial paper program. The second map below shows the breakdown of the drawn financial debt made out of almost 43% of bond and similar instruments, less than 30% of bank facilities and less than 30% of short-term drawings on the commercial paper program fully backed by long-term committed credit lines. This highlights our continuous access to diversified funding sources, including relationships with 25 leading banks. Going to Slide 49. Due to the passage of time and the weight of the 2 benchmark bonds of EUR 500 million, which in our maturity table, the average debt maturity after it remained stable at 4 years in '23 and '24 stands now at 3 years rounded. The average cost of debt is still in line with the level experienced in '23 at 1.4%. You will recall that in the '25 outlook, we anticipate a very slight uptick in our cost of debt to 1.5% for the full year. On the medium term, we anticipate a gradual increase year-by-year by around 2.2 -- sorry, to reach -- in the medium term, we anticipate a gradual increase year-by-year to reach around 2.2% in '28 when the first benchmark bond will mature. I'm on Slide 50. As mentioned earlier, we can present a green sheet for the '25 maturities, and we are already working on the maturities for '26. Slide 51 shows that our interest rate risk is almost fully hedged for '25, aligning with the group's long-term interest rate hedging strategy. Between '26 and '29, the hedging ratio varies from 95% to 71% with a weighted average maturity of 4 years. And I will now hand over to Jean-Pierre, who will give you an update on the '25 outlook.
Jean-Pierre Hanin: Thank you, Jean. On Slide 53, you will find the breakdown of the investment budget for 2025. Turning first to the investment aspect on the left side of the slide, we are, as you know, considering gross investment for a total of EUR 170 million for this year. Secondly, on the divestment aspect, on the right side of the slide, as we have seen in our press release of beginning of July, we are on track with our target of EUR 100 million in divestment. Like I said in the beginning of the presentation, EUR 56 million have already been done in the first semester of this year. If we add the files completed in July, like the closing of the divestment of a nursing home in Belgium that happened yesterday and the files already signed and expected to be closed by the end of the financial year, the divestment reached approximately EUR 70 million or 70% of our target. With this projection, the net investment would reach around EUR 70 million at the end of 2025 and would have a nearly neutral impact on net debt-to-asset ratio, which is expected at around 43% by year-end. I will end this presentation with an update on the outlook 2025. Cofinimmo confirms the guidance published in the press release of 21st of February and 25th of April 2025, which expected barring major unforeseen event to achieve a net result from core activities group share per share equivalent to EPRA EPS of at least EUR 6.20 per share for the 2025 financial year, leaving aside the nonrecurring effect related to the potential combination with Aedifica. This is taken into account at pro rata temporary dilutive effect of the capital increases carried out in 2024 for approximately EUR 0.09 per share and the divestment carried out in 2024 and budgeted in 2025 for approximately EUR 0.36 per share. Based on the same data and assumptions, the debt-to-asset ratio at the end of this year would remain almost stable compared to that at the end of 2024 at approximately 43%. This allow us to confirm the gross dividend outlook for 2025 financial year payable in 2026 at EUR 5.20 per share. We appreciate your attention. We are now ready to address any questions you may have.
Operator: [Operator Instructions] The first one comes from the line of Valerie Jacob calling from Bernstein.
Valerie Jacob Guezi: So I've got a few questions. If I may, do you want me to ask them all or one by one?
Jean-Pierre Hanin: One by one, please.
Valerie Jacob Guezi: Okay. So the first one is just on your outlook. I mean, you said that you're ahead of budget, and I think you were already ahead of budget at Q1, if I'm not mistaken. And so I was just wondering what -- if you could be a bit specific and tell us what part of your business is doing better than you were anticipating when you did the budget? Is there something specific? Or is it just that you are cautious and everything is just a bit better?
Jean-Pierre Hanin: Yes. It's spread all over the business. So I would not say that there is one element striking much better. So it's a bit everywhere, which shows the resilience and I think the quality of the business, so that's -- we said at least EUR 6.20, but there is no specific element to highlight.
Valerie Jacob Guezi: Okay. My second question is on the renegotiation. So it's still a bit negative this year, but I know it was negative last year as well. And I was wondering the number we are seeing this year, is it a legacy of what you renegotiated last year? Or are you still seeing some negative renegotiation? And if this is the case, do you anticipate this will continue in H2 as well?
Jean-Pierre Hanin: Well, there is one part of a business of usual where you still have a bit here and there. But frankly speaking, considering the size of the portfolio, it's really marginal. Some part is a bit of legacy. So again, very minor point, I would say.
Valerie Jacob Guezi: Okay. The next one is on indexation. I think indexation is going down everywhere. And I was wondering if you could share your forecast for 2026. What are you anticipating for your portfolio in terms of indexation?
Jean-Pierre Hanin: We can't because we are waiting some official data for -- like from the EU for 2026, so we don't have yet those data. So that would be something more for later on this year.
Valerie Jacob Guezi: Okay. But you haven't made any, I don't know, estimate or...
Jean-Pierre Hanin: No, no, we don't. And like you, we follow the flow of information and all studies and so on. But we have not yet incorporated any definitive figures for our estimate of next year.
Valerie Jacob Guezi: Okay. And my last one is on Offices. I think Aedifica made some statements on being a bit more flexible on the disposal of offices. And I was wondering if you've had more interest or people reaching out to you to buy some offices since that statement.
Jean-Pierre Hanin: Well, several statements have been made. So I think we have to be careful just referring to one statement. Secondly, there has not been any change since some of the statement has been made. But we continue to be very active, and there will be further news in the second semester. So what is quite relevant is to see that the occupancy ratio is going up. So the business, from a qualitative point of view, is demonstrating its robustness.
Operator: The next question comes from the line of Frederic Renard calling from Kepler Cheuvreux.
Frederic Renard: Just to come back on the question of Valerie on the outlook and the guidance. So what was refraining you from increasing your full year guidance on the back of the fact that you are still above budget?
Jean-Pierre Hanin: Look, we are fully occupied with the preparation of the combination. The business is strong, which is a good news. And rather than to have it precisely wrong by putting a number that would not be exactly this, we said at least EUR 6.20. And I think after the next quarter, we might have a better view. But at this stage, we were not hold back by specific things, but it's more a global attitude. I think, Frederic, you know us quite well in this regard.
Frederic Renard: Yes, indeed. And maybe a second question, which could be a bit weird, but I published a report probably last month, I think, on the Office portfolio of Cofinimmo trying to indicate where it could be actually the real market value of this portfolio, and I was around minus 11%. I don't know if you can -- well, to what extent you would agree or disagree on that statement? You would be marketing the portfolio today.
Jean-Pierre Hanin: Look, the real value of the portfolio is a combination of the valuation, which are made on a quarterly basis and every time being adjusted and Jean has highlighted that after 9 quarters of adjustment, we have reached now a much more stabilization level. I don't know where this 11% is coming from. It seems that some people are very smart and can say something. If you put any negative number, you seem credible because in the current environment, people tends to be more on the negative side than a positive. But look at what we have divested during those last 3 years. So I'm a bit tired of having always to repeat this because we have shown during the last 3 years that we were capable of selling at fair value. We are not holding back any opportunities. But of course, to sell at fair value, you need to prepare it. Sometimes you need the permit to be attached to it. So maybe for negotiation purposes, you can agitate a negative value, but look at the reality. And I think it can be done at a fair value. But if you want to rush and take everything, then indeed, you might have some poor offer.
Frederic Renard: Understood. But I mean, it was not to tease you or not to lower what you have done over the last few years. I'm just thinking that for some plain vanilla type of product, including, for instance, the Belliard 40, which is probably one of your landmark assets today in your portfolio. I guess if they would be having an opportunity, you would have seized it. And I would assume that it does not materialize, which could also mean that the price in your book is actually a bit too high.
Jean-Pierre Hanin: Yes, Frederic, no doubt, everything is in play since several years. So we are not turning down any offer. And whether it's Belliard 40 and we have other very good asset of that quality, it's clearly the case we are active. Everything is in play. And as you know, the track record has demonstrated that we can do it, and we will continue.
Operator: [Operator Instructions] the next question comes from the line of Steven Boumans calling from ABN AMRO ODDO BHF.
Steven Boumans: I got several. So the first one, what are the expected nonrecurring effects arising from the potential combination with Aedifica in '25 and '26?
Jean-Pierre Hanin: As you know, the transaction is going on and is credit on several months, so this just started. And of course, we will disclose in due time depending on the various steps and the process estimate, but it just started. So it's a bit too early to make an estimate at this stage.
Steven Boumans: Okay. Clear. And then also referring to the previous questions, maybe some further clarification on the investment market for Office in Brussels. Can you provide a bit more color versus 6 months ago? Are there more buyers in the market, for example? Any uplift in discussions you have for specific assets? Or is that similar, let's say, to 6 months ago?
Jean-Pierre Hanin: Well, basically, what we have done in the last 3 years in a market that was not better than this year is basically having targeted discussions with potential buyers for asset by asset, and we continue to do so. I've not noticed a big change over the first 6 months of this year, so it's more business as usual as far as we are concerned.
Steven Boumans: Okay. That is very clear. And the last one, I see that for the line item in the P&L of joint ventures and associates, that's a positive result today. Is it correct that the majority of that line item is the Aldea joint venture? And can we expect structural profitability in the foreseeable future from this line item?
Jean Kotarakos: So Aldea is indeed included there, but what you have specific to the last quarter is the fact at the end of April, Cofinimmo has sold its 25% residual stake in a company that was holding a health care campus that was under construction in Germany and that we made a gain on the disposal of that residual stake.
Steven Boumans: Okay. Clear. So it was a bit of a one-off this quarter. And going forward, can you guide a bit what we structurally positive the joint venture and associates line item, let's say, for this year and next year besides the one-off this quarter?
Jean Kotarakos: If you look at forward information, that the main thing that you will find there would be the mark-to-market of the underlying portfolio of the associates. And as for the rest, we cannot make the work in advance. So you should account for a small variation, positive or negative depending on the market valuation of the assets.
Operator: Next question comes from the line of Veronique Meertens calling from Van Lanschot Kempen.
Veronique Meertens: For me, some questions on the health care side. Maybe first on Spain. I noticed there were some delays in the pipeline. I think specifically to one developer. Could you give some additional color and comments? I think, in general, we've seen some delays in Spain, so how is that market evolving for you?
Jean-Pierre Hanin: Well, the market, generally speaking, in Spain, as you may know, is quite good. Spain is quite a big market. On the developers side, in general, like in many European countries, while construction sites are more on the slow pace than on a fast for reasons that are existing in many other markets. So as far as the delay we have mentioned here, I think it's still basically the result of what happened during the COVID years and still some delays that are there and the global slow move in the construction markets, not more.
Veronique Meertens: Okay. And then maybe looking at Italy, I know it's a country where you have the lowest WALT of only 5 years. There's currently one of your peers is actually in the market with an Italian portfolio with significantly higher WALT. I appreciate that obviously, in the last few years, you were not really a net investor, but this is a portfolio that you're currently looking at or would be interested in?
Jean-Pierre Hanin: We are looking at all opportunities on the market already, that's all I can say. But we are not in a holding position. So whether it's in Italy or in other geographies, if there is something interesting, then we look at it.
Operator: The next question comes from the line of Vivien Maquet calling from Degroof Petercam.
Vivien Maquet: Just a couple of follow-up questions maybe on the offices. But on your disposal plan, I think that you have still -- don't know what slide, 53 or something, still some disposal to be secured 30%, so EUR 30 million roughly. Are you intending to sell any offices there? Yes, , just on the spread in between the disposal between Healthcare and offices, could we expect...
Jean-Pierre Hanin: Yes, To be totally transparent, we -- especially when there is only a small amount left because there is EUR 30 million left, not to jeopardize our position in any negotiation, we prefer not to precise whether it's an office or health care because if someone knows that it has to be an office, then I can tell you that in the room, the atmosphere is a bit different. So we remain flexible. We have an asset rotation plan that cover several years. So we are not frozen to sell an asset. If we don't sell these assets, we are stuck. So we keep a bit of flexibility. And the year-end is not a magic date, so there are process that also overlap, of course, the year-end. So I would say it can be everything.
Vivien Maquet: Got it. Then maybe just on the letting in the Office segment, maybe just I will -- first an update on the Montoyer 10 and maybe more generally over Brussels CBD. What signs do you see in the market over Q2? And to what extent do you have large lease maturity coming into the Office portfolio in the next, I would say, 6 to 12 months?
Jean-Pierre Hanin: Yes, we are on budget. So we don't have a bad surprise, and I expect even some good news by year-end. So Montoyer is also moving according to plan. Again, you read that the office market is very polarized; so indeed, secondary assets, I'm not talking about those outside of the CBD, but even in the CBD, low-quality assets are not a priority for tenants. Montoyer 10 is, of course, a high-quality assets with a very good rent. As you know, it's with this asset that we have pushed up the highest rent in the CBD. So the team is very dynamic. And we are not experiencing in our portfolio a downside of the pace for renewal or anything like that. But as you know, we are extremely active to prepare things and to make sure that our portfolio remains state-of-the art.
Operator: We currently have no questions coming through. [Operator Instructions] Well, there are no further questions, so I will hand you back to your host to conclude today's conference. Thank you.
Jean-Pierre Hanin: Thank you, Ben. Let me do thank you all. And for those of you who still have their holidays ahead of you, enjoy it and for the others, too bad. And we have also had a lot of work during this summer, as you can imagine. But as you know, we are always at your disposal. So our Investor Relations and the rest of the team are there, if you have any questions down the road, happy to answer them. Thank you, and have a good day.
Operator: Thank you for joining today's call. You may now disconnect.